Operator: Good morning. My name is Michelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the Graphic Packaging First Quarter 2014 Earnings Call. [Operator Instructions] I would now like to turn the call over to Mr. Brad Ankerholz, Vice President and Treasurer. Please go ahead, sir.
Bradford G. Ankerholz: Thank you, Michelle. And welcome, everybody, to the Graphic Packaging Holding Company's first quarter 2014 earnings call. Commenting on results this morning are David Scheible, the company's Chairman, President and CEO; as well as Dan Blount, our Senior Vice President and Chief Financial Officer. To help you follow along with today's call, we have provided a slide presentation, which you can access by clicking on the webcast and presentation link on the Investor section of our website at graphicpkg.com. I would like to remind everyone that statements of our expectations, plans, estimates and beliefs regarding future performance and events constitute forward-looking statements. Such statements are based on currently available information and are subject to various risks and uncertainties that could cause actual results to differ materially from the company's present expectations. Information regarding these risks and uncertainties is contained in the company's periodic filings with the Securities and Exchange Commission. Undue reliance should not be placed on forward-looking statements, as such statements speak only as of the date on which they are made, and the company undertakes no obligation to update such statements. David, I'll turn it over to you now.
David W. Scheible: Thanks, Brad. Good morning, everyone. Today, we reported first quarter adjusted earnings per share of $0.13 compared to $0.10 a year ago. It was an interesting, but somewhat frustrating first quarter. As we started the year firing on all cylinders, demand across both segments in the United States and Europe was solid, pricing was positive and building momentum, and both our mills and converting facilities were running extremely well. Just about every key operating metric that we track was trending positively early in the quarter. Then the extraordinary weather conditions hit the Southeast, causing our 2 virgin fiber mills to unexpectedly lose power, creating a number of operational issues on the production side of the business and an elevated level of unplanned costs. I want to be very calculated about how I talk about the weather. We rarely comment on the impact of weather, as it is management's job to improve the business through all types of external fluctuations. However, it was such an extraordinary set of events that had a measurable impact on our first quarter results so we thought we needed to provide some insights for investors. You just cannot unexpectedly shut down a large chemical process and bring it back online with the flip of a switch. It's a very complicated, time-consuming and expensive process to get a mill safely back to optimal levels after an unplanned outage. By the time you have to shut down, ramp up, you lose production tons, running efficiencies and of course, you experience increased costs. This is exactly what happened in our West Monroe, Louisiana and Macon, Georgia virgin board mills in the quarter. The West Monroe mill went down unexpectedly in early March from a power outage that was related to a severe storm, causing a shutdown of our energy supplier substation in Louisiana. We had no warning before the power went out and it took 2 days before we had full power back at the mill. When we did finally get back to full power, it took several days for us to get the boilers, liquor flows and power systems all running at optimal levels. A similar but less critical scenario played out in the quarter in Macon as well. Combined, we lost over 16,000 tons of SUS production, and of course, those tons we did produce were at elevated cost levels. We made a lot less tons and the average cost per ton was higher-than-normalized level. Dan will go through the details in his section, but all in, weather negatively impacted Q1 results by almost $15 million when including the unexpected mill outages, higher cost to produce tons and significantly higher cost for energy, fiber and freight. Weather also impacted our ability to execute our continuous improvement initiative during the quarter, as we redirected our resources on getting the mills back up online and fully functional as quickly as possible. As a result, first quarter performance improvement at $8 million fell well short of our target. So in addition to the tangible costs, there were lost opportunity costs due to Mother Nature as well. Like I said, it was a frustrating quarter. Good news is that none of this was demand-related. All the key metrics to our business are still pointed in the right direction. It was an unpredictable temporary disruption that impacted the business. But it's behind us now and we see no lingering effects as we head into the second quarter of the remainder of the year. Our mills are now operating at normalized productivity levels. Input prices, particularly for natural gas and wood, have come back in line and demand across many of our markets remained solid. In addition, we see pricing continuing to build as a result of the reset mechanisms built into our contracts. We cannot get the loss production days back in our mills. We will accelerate our continuous improvement efforts and we still expect to achieve our performance improvements at the lower end of our $70 million to $90 million target by year end. There is positive momentum in the business right now, and it was really unfortunate we had this temporary disruption in the first quarter. This event does not deter optimism for the rest of the year. Dan will go through our updated financial target, but we expect to make up half of the weather-related EBITDA impact and are not backing off our cash generation target for the full year. Looking at our end market, we're seeing underlying improvements in some key areas of the business. Both the big beer and craft beer segment performed well in the first quarter and the overall beer market continues to recover. Many of you probably saw, the Can Manufacturers Institute reported that beer can shipments were up 4% in the first quarter year-over-year, reflecting much better take-home demand. We also saw pickup in frozen pizza and away-from-home sector in the quarter. Demand in the soft drink sector remains challenged, but soft drink packaging continues to be a smaller percentage of our total business, as we expand into newer segments and newer geographies for food and beverage packaging. Underlying demand trends in our European business were also strong in the first quarter for both the beverage and consumer product sectors. The European integration of Contego Packaging and A&R beverage packaging business has given us a sizable presence and a platform in which to grow and we are gaining share in Europe. In February, we announced our intention to acquire Benson Group, a leading food and health care packaging company based in the U.K. This is a strategic acquisition that complements our existing food and beverage capabilities in Europe and provides an opportunity to further integrate our SUS paperboard. Benson will broaden our offerings in our core food and beverage markets and will extend the business into store brand market. The combination of Benson and our existing business is expected to create a $700 million revenue business in Europe. Our initial synergy targets for Benson are in the $5 million to $7 million range, and we certainly expect to achieve the upper end of that number. We anticipate that acquisition to close sometime late in the second quarter. We had a pretty good quarter on new product development. We introduced solutions that responded to consumer needs for convenience, with microwave cooking solutions and products in the away home from market -- away-from-home market. Additionally, Graphic leveraged the strength solutions portfolio for strong shelf appeal in a wide range of food categories. On the strength side, Palermo Pizza engaged Graphic to create strength cartons for 2 SKUs of private label pizza for Costco Kirkland brand replacing corrugated with heavy caliber SUS. This opportunity also opened up several more projects for this fast-growing Midwestern pizza manufacturer and the initial win was extended to include a specialty carton for Screamin' Sicilian Pizzas. Graphic Packaging produced the club channel cartons for Materne's GoGo squeeZ applesauce. This fast-growing product needed a more efficient pallet profile, which was achieved using Graphic's constructed heavy caliber paperboard and our Z-Flute constructions. For Perfection Pet, which produces Wal-mart's Ol' Roy brand of dog biscuits, we created 3 sizes of strength cartons. In addition, on-boarding activities continued for new Z-Flute and Litho-Flute business from Kellogg's in support of their club channel snack offerings. This represents significant growth and continued momentum for Graphic in our Strength Packaging platform. Turning to microwave. We remain the leader in microwave cooking solutions for our customers, new and existing products. First quarter, we assisted Tyson Foods with extending their frozen breakfast options with the launch of Day Starts. A high-protein consumable on-the-go omelet wrap uses our proprietary Quilt Wave solution for even heating and crisp in-cooking results. Another microwave product commercialized this quarter was a focused insert carton with susceptor for Heinz Smart Ones fish & chips meal. Finally, in the away-from-home sector, Starbucks VIA product, which was commercialized in Q4 of 2013, gained additional SKUs for production in Q1. Through VIA black coffee and VIA Refreshers, GPI has provided Starbucks the assurance of print quality and consistency across our manufacturing platform that they demand for their high-quality brands. This assurance has led to additional opportunities at Starbucks, including producing an inner carton for Verismo pods that are shipped with Starbucks Verismo brewing machines. Talking a little bit about the segments. We remain committed to growing our core food, beverage and consumer business. As a result, we are -- we continue to divest non-core assets following on last year's divestiture of our URB Pekin mill. In our flexible plastics business, in Q1 of this year, we completed the sale of our Label business, which included 2 plants located in Greensboro, North Carolina and Norwood, Ohio. Labels was not a key business for us and exiting the business frees up capital and allows for a stronger focus our core vertically-integrated businesses. Our Flexible Packaging segment, which is predominantly now a multi-well bag business, remains a work in progress. However, we did make significant progress in improving manufacturing performance and began to recover price during Q1. We also saw some modest improvement in demand trends in the quarter. So in total, when excluding the divested plastics business, flexible EBITDA was better than last year with margins up around 70 basis points. So positives to build on. We expected pricing to improve when compared to last year and an increase by almost $19 million in the first quarter. Right now we feel good about the pricing outlet for the remainder of the year. Increases in board prices and commodities last year should continue to benefit both our open market board sales and our carton contracts containing price escalators for 2014. Many of our commodity input prices spiked in the first quarter as a result of the severe weather. Input inflation was up $13.5 million. Natural gas, wood, chemicals and transportation were all higher in the quarter. And right now, we estimate weather-driven inflation cost us about $5 million in the quarter alone. This weather was -- inflation, as you can imagine, was predominantly driven by natural gas where a lack of supply created very high spot prices. We hedged 60% of our expected needs, which helped mitigate the impact, but the unhedged portion proved to be very expensive. In addition, we incurred significantly higher costs in areas like chemical conversions, managing much wetter wood and heating much colder water due to the weather. The quarter was challenging for cost inflation, but we have already seen commodity costs decline on a sequential basis to more expected levels in our full year outlook for inflation that, including labors and benefits, remains in that $50 million to $60 million range. In summary, there were a lot of positives in the business right now, and we're pleased with the way we have managed through some unforeseen outside events in the quarter. While the quarter was really a bit of a setback, it was not, in our view, structural. So we expect the business to continue to improve as we go forward in 2014. The business appears to have normalized in the second quarter and we remain confident in our ability to grow our sales, EBITDA and cash flow and hit our debt levels and ratios. I'm going to now turn the call over to Dan for a more detailed discussion of our financial results and outlook for 2014.
Daniel J. Blount: Thanks, David. And good morning, everyone. Today, in our discussion this morning, I will follow our posted presentation. Let's first look at Slide 12, where you see we reported adjusted first quarter EBITDA of nearly $158 million. Adjusted EPS at $0.13 is up $0.03 over last year. Adjusted net income improved by 24%, as interest expense benefited from lower borrowing rates and the effective tax rate on operating earnings declined. Sales adjusted for the divested businesses grew 1.7% on the strength of improved pricing. Now as David discussed, we seldom talk about weather impacts as we believe that good management teams work through these negative external factors and deliver improved results. However, the weather disruptions we experienced were so significant, particularly in our mills, that we quantified the financial impact to highlight that, except for the weather noise, the underlying fundamentals driving business results improved. Therefore, the financial analysis we'll cover in a couple of minutes, breaks out the impacts of the weather and business divestitures from our normal category analysis. Overall, we were encouraged with the pricing improvement, the stable demand and strong converting plant performance we saw in the first quarter. Additionally, based on the margin improvement we are seeing in the business, now that the weather issues are behind us, we remain optimistic about financial improvements for Q2 and the remainder of 2014. In discussing results this morning, we will start with sales, then move to EBITDA and then on to cash flow. And we will also update you on expectations for Q2 and the year. Now please turn to Slide 13 for the sales bridge. In comparison to last year, the largest change is due to the divestiture of non-core businesses. As you remember, over the last year, we sold Retail Plastics, the Pekin mill and this quarter, we sold our Labels business. These transactions allowed us to free up capital and focus on our core, higher-margin Paperboard Packaging business. The top line impact of these divestitures in Q1 was $45 million. Now as a side note, the Benson Group acquisition that is expected to close in the second quarter is expected to add $50 million of revenue per quarter, with much higher margins than the businesses we sold. Our price at $19 million was a large driver of revenue improvement, as the contractual price resets we have regularly talked about delivered as expected. We remain positive about price for Q2 and the remainder of the year. We did experience a modest volume decline, which I attribute more to weather, as our open market sales of paperboard roll stock show the largest declines. Plus, we have seen these sales bounce back in April. Overall, our carton demand was solid. Now moving to our Q1 EBITDA bridge on Slide 14. You clearly see the impacts from the divestitures and the weather disruption. In terms of the fundamentals, the underlying business improved nearly 10% on the strength of better pricing. Performance, as mentioned earlier, at $8 million, was lower than anticipated, as weather disruptions impacted production output and we temporarily reassigned resources normally dedicated to our cost reduction initiatives. We expect performance will accelerate in Q2 and through the balance of the year, as we ramp up our cost reduction initiatives and integration efforts. For the full year, we still expect to achieve the previously communicated $70 million to $90 million performance targets, albeit towards the lower end of the range. The bridge clearly shows the direct weather-related impact at $14.5 million. The loss relates to -- or losses related to weather includes, as David mentioned, the unexpected mill outages, resulting in lost production, higher cost to produce tons and temporary cost increases for energy, fiber and freight. As we moved into April, we saw few remaining residual effects from the weather disruptions. And as a result, margins are reflecting the improvements in underlying business fundamentals. In summary, looking at our Q1 EBITDA results, we are pleased with the fundamentals we are seeing. Pricing is improving, inflation is relatively modest and we expect to achieve our cost reduction targets. With the weather issues behind us, we expect strong Q2 sequential EBITDA improvement in the neighborhood of $25 million to $30 million over Q1. About 1/2 of the improvement comes from the weather recovery and the remainder from better pricing and performance. Now moving to Slide 15, you'll find our cash flow, debt and liquidity summary. The seasonality of our business typically results in a use of cash during the first quarter as we build working capital to service higher demand in Q2 and Q3. We experienced this trend again in Q1, and we used $45 million of cash. Now deducting the $70 million net cash proceeds from the sale of our Labels business, we see a result in net debt reduction of $25 million this quarter. Our full year view on free cash flow generated from operations remains unchanged at $350 million, as the weather-related losses will be offset primarily by working capital reductions. Please note that this figure does not include the proceeds from the label sale nor the Benson acquisition cost of around $165 million. Net of this M&A activity, net debt reduction for 2014 is expected to approximate $250 million. Now looking at our Q1 CapEx spend, you will notice, at $59 million, it is higher than the $33 million spent last year. This is because in the quarter, we increased spending to finish up the remaining European integration investments and to bring to completion several mill cost reduction and performance projects. The benefits of these investments are strong contributors to our $70 million to $90 million performance improvement target. While the timing of our CapEx spending will be skewed more toward the beginning of the year than last year, we expect annual spending to decline. Our guidance range for 2014 CapEx continues to be $185 million to $205 million, which compares to $210 million in 2013. Now at the end of the quarter, our net leverage ratio was 3.27x, essentially flat to year end. Given our cash flow outlook, we expect to be within our 2.5x to 3x leverage target range as we leave 2014. Overall, looking at our entire debt portfolio, we have an average effective borrowing rate of 3.4% and strong liquidity of over $700 million. Turning to interest. You'll notice that the refinancing work we did last year to lower our borrowing cost is paying off, as interest expense was nearly $7 million lower for the quarter. In terms of major shareholder ownership, in February, 3 shareholders sold 30 million shares in a secondary offering. After this transaction, Clayton, Dubilier & Rice, and Old Town no longer own any shares of Graphic Packaging. This is the seventh such offering over the last 10 quarters. Public float of our shares has now increased to 87%. Now before turning to the outlook, a comment about our Q1 tax rate. You'll notice the rate at nearly 42% was above the range of 37% to 39% that we guided to on our last call. As part of the sale of our Labels business, we wrote off $21 million of goodwill, which was nondeductible for tax purposes. For reporting purposes, this impact will be spread throughout the year and will add approximately 2.5 percentage points to our full year effective tax rate. Our revised tax guidance for the effective tax rate is now in the 39% to 41% range. Now as a reminder, we continue to not pay U.S. cash income taxes and we continue to utilize the NOL and we will continue to do that for some time. Now turning to the last slide. You see our outlook for 2014. The details are unchanged from last quarter with the exception of the tax rate, which we just discussed, and the interest expense, which we revised slightly downward. If you have any questions about guidance, we will address during Q&A. And with those comments, I will turn the call back over to the operator. Thank you.
Operator: [Operator Instructions] Your first question comes from George Staphos from Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: I guess first question I had, housekeeping. Do you happen to have depreciation and amortization by segment? And can we assume that the nearly $8 million of charges hit the Paperboard segment in the quarter, just as we reconciled the segment EBITDA to your adjusted EBITDA?
David W. Scheible: We're thinking. We're thinking.
Daniel J. Blount: We're getting your answer, George.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. We can come back to that. Can you comment on where backlogs are for CRB and SUS at this juncture? I'm assuming they'd be relatively healthy as demand has picked up going into the second quarter.
David W. Scheible: Yes, we had pretty good demand in the first quarter, George, and we sold down some of our paperboard inventory, for sure. And our backlogs are strong and our inventory position is good going in. The business is doing well. Soft drink, those are well chronicled. That's an issue for us. Europe backlogs are very, very busy right now. I just -- we talked to Joe Yost, who runs that business for us, and they're very active in all their plants in Europe. So as I sit right now, I feel pretty good about the quarter from a demand standpoint.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. Factually though, you don't have the backlogs at hand, would that be fair?
David W. Scheible: We don't actually -- we're so integrated that backlog doesn't really -- it's not the same as open market sales. So we don't really don't talk about backlogs because most of them are from our own plants, right?
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. I remember, last year's [ph] quarter was like 3 to 4 weeks, but maybe I'm...
David W. Scheible: Well, it's probably -- it's no different than that right now. It's unchanged here. It's 3 -- we keep it -- it's generally about 3 to 4 weeks. It didn't get much out of that range and that's probably about where we are right now. I was just -- just looked at the -- I look at it in terms of how much inventory I have in paperboard, and I look at that and I know that I'm in that 3 to 4 weeks by how much CRB and SUS. And I see that every day and right now based on those numbers, 3 or 4 weeks feels about right.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay, I appreciate that, Dave. Next -- and I'll turn it over after this. Pricing, you got a very nice impact in the first quarter. Obviously, momentum is building at least from what your comments were. I don't remember, maybe I missed it, whether you're a firm $30 million to $40 million from previous guidance. And is there anything formulaically that you know will benefit '15? Or is that too early to even comment to?
David W. Scheible: Well, let's start with where we are, and we -- we're going to keep in that $30 million to $40 million, but we're going to be at the upper end of that $40 million range, for sure. You'll remember that in the fourth quarter, we got more pricing than we expected. We had $10 million worth of pricing in the fourth quarter. So when we start to lap that, we -- what you can't do is take $20 million and multiply it by 4. That doesn't work. But certainly, at the upper end of that $40 million feels pretty good. '15 will be -- there will be some overlap in '15, for sure. Some of that will depend upon -- as pricing for paperboard and costs flow through in 2014, and a lot of our board and carton contracts are costs. So as I look at inflation of $30 million or so in input costs, some of that is going to naturally roll into pricing in 2015. So generally speaking, unless there's a deflationary impact, which is what we had, I think, in 2011, you're not -- you're going to see every year some level of pricing go up, just by virtue of the way the contracts work.
Daniel J. Blount: We do have the answers to your detailed questions, George. In terms of depreciation, it was about $67 million for the quarter -- the first quarter. About $60 million of that is in our Paperboard Packaging. The rest of it is in our bags, multi-well bags. And in terms of the add-backs, all of that is predominantly in the Paperboard Packaging segment.
Operator: Your next question comes from Phil Ng from Jefferies.
Philip Ng - Jefferies LLC, Research Division: The $15 million headwind that you guys flagged for weather, can you talk about how much of that rolls off and how we should be thinking about that going forward?
David W. Scheible: Well, we took -- I think, Debbie and Dan really took all of that in the first quarter. So that cost, we rolled it through. We will -- don't have any overhang in the second quarter heading in. It was predominantly I -- the way to think about it is predominantly variable cost. A good portion of it was natural gas in wood that we pay, and then the freight. In some cases, we -- I think I told you guys, we had demand. So in some cases, we were moving -- when Macon was up, West Monroe was down, we were still filling demand, but we were moving it around in the quarter inefficiently to make sure that our carton plants ran. That freight, we're never going to get back, but it's also not going to repeat. So that $15 million is a first quarter, a one-off deal that we are not projecting to carry forward in the rest of the year, which is why Dan said he thinks here's a $25 million hop up in Q2 because $15 million of it's just not repeating the impacts we had in the paperboard mills.
Philip Ng - Jefferies LLC, Research Division: Got you. And then the $5 million inflation headwind you guys called out, would be big -- embedded in that $15 million number, is that correct?
David W. Scheible: It is. Yes, it is. It is the incremental of what we would normally would -- we were hedged, but we were paying -- Dan, you may know [ph], but I think at some point during the quarter, at Macon, we were paying $10 or something like that, for the incremental natural gas.
Daniel J. Blount: It did get up that high, yes.
David W. Scheible: And that's expensive. And the problem you get into, not that you care that much about how a paperboard mill runs, but you've got to remember, when the wood gets wetter or the water that we pull out is colder, it still has to be heated to the same temperature for the paperboard mill to run. So we use a lot more MMBtu's in that kind of cold than we normally would, certainly than we saw in 2013. Because remember, first quarter 2013 was actually a pretty moderate quarter. So it was just an unfortunate thing. And I think for the most part, disappointing because we really had some pretty good momentum in the business and it just got trashed by virtue of the process.
Philip Ng - Jefferies LLC, Research Division: Got you. So if we strip out that going forward, I mean, you guys guided down performance improvements. It sounds like a big part of that is weather. If we look at the 2Q, 3Q, 4Q run rate, is that generally tracking in line with what you guys were expecting before?
David W. Scheible: I think we're -- as Dan said, we expect the performance to end up at around $70 million, the pricing in that $40 million range for sure. And that's why we're sort of reaffirming our cash targets.
Philip Ng - Jefferies LLC, Research Division: Got you. And then from a demand perspective, this is probably one of the more upbeat quarters. I remember you guys giving color on that front. Is that a function of just demand getting better in North America? Or is it more Europe related? Or is it just new products, you winning -- picking up market share? Can you kind of help us understand what the drivers are?
David W. Scheible: Well, I think you hit them all. Maybe you should do the call next time for us. Basically that's it. We had strong demand in Europe. And lapping European performance in legacy graphics is not that difficult. We didn't have a great business over there, and now we do. So that's a great comparison. But we did see strength in beer. We saw strength in frozen pizza, even cereal was better. So we started to see in some of those core markets better overall demand. And even the multi-well bag business, we started to finally see some -- both strength in volume and in pricing, which is -- I'm certainly more encouraged about that business than I have been in a while as well. We're early in the quarter, but we're okay with where we are.
Philip Ng - Jefferies LLC, Research Division: Got you. And just one last one question. I know you're going to get this at some point. Pricing at least looks really strong in Q1 and I could appreciate Q4 tapering off a bit because you got some last year. But if I remember correctly, Dan was talking about 3Q being kind of your peak run rate quarter. So this seems like you're, even at that $40 million upper end, your pricing guidance seems a bit conservative.
David W. Scheible: Well, the -- as you well know, the way pricing works for us is mix. And so in the quarter, it changes. So we got more pricing in some sectors than we do in others. So we kind of have to look through a prism to figure out what it's going to look like. And so like I said, I'm already guiding to the upper end of the $40 million. Could it be better? Sure, but it's certainly not $80 million. You can't multiply it times 4. That does not work. But yes, I think pricing is going to continue to be a positive for us in the quarter. And I think as George mentioned, we'll continue to see that trend right on into 2015 because of the way the contracts are structured. But it takes us a long time to get it back. I mean, this pricing is good, but a lot of -- other people in the space who have open market, they were getting these increases last year and we're just now getting them in '14.
Operator: Your next question comes from Alex Ovshey from Goldman Sachs.
Usha Chundru Guntupalli - Goldman Sachs Group Inc., Research Division: This is Usha Guntupalli on behalf of Alex. So just on the forward demand, are you hearing anything from your customers on forward demand outlook, anything on food cost inflation impacting volumes going ahead?
David W. Scheible: Well, that is something that they talk about. But you've got to remember the stuff that we package is still cereal and rice, macaroni & cheese. We're still at the lower end of that socioeconomic -- what you're seeing on the rising food costs tend to be more of the fresh stuff and more of the expensive stuff is having a higher proportion of the inflation. And so they'll have to figure out how that works out in their business. They're certainly worried about that, but right now, it's not manifesting itself in our volume trends.
Usha Chundru Guntupalli - Goldman Sachs Group Inc., Research Division: Got it. That's helpful. And just a follow-up on the Europe cotton demand comments being very strong in the first quarter, do you expect this to be sustained? What gives you the confidence that things are finally turning around there?
Daniel J. Blount: Well, you've got to remember that unlike the first quarter here in the weather, they had a great -- all the warm weather that was supposed to be in Atlanta moved to the U.K. And so that helped materially. If you remember, our business in Europe is heavily weighted towards beverage, and now moving towards consumer foods. And the weather really supported that kind of demand. So we don't see a drop off right now. Our backlogs in our carton business on a go-forward basis look very, very good. Now we're a much smaller player in a share standpoint in Europe than we are in the United States. But we're busy. All of our carton plants are busy and we're shipping paperboard over there on a regular basis. So I feel pretty good about European demand right now. March was good and April is strong.
Usha Chundru Guntupalli - Goldman Sachs Group Inc., Research Division: One last one. Could you remind us how much leased food you buy annually and how much year-on-year cost increase are you factoring into your inflation estimates?
David W. Scheible: In the first quarter, I had, I think -- in the first quarter, I think we had about $3 million worth of external purchase board or something like that in our inflation numbers. I'll have to look that up. It's pretty close. And we buy somewhere between 175,000 and 200,000 tons of SBS globally.
Usha Chundru Guntupalli - Goldman Sachs Group Inc., Research Division: Got it. So basically, you do have some increases, but then from announced price hikes, right?
David W. Scheible: Of course. Yes, absolutely. Yes, they're in our inflation numbers on a go-forward basis. I think I said we expect our inflation to be around $60 million for the year including labor and benefits. The drivers will be energy. I think wood will pretty much flatten and outside paperboard purchases will be $3 million to $5 million of that.
Usha Chundru Guntupalli - Goldman Sachs Group Inc., Research Division: So are you factoring in the entire announced price hike? Or whatever has been realized so far in April, just for [indiscernible]?
Daniel J. Blount: Yes, I'm not going to talk about exactly what prices we purchased are external board. I -- you didn't miss the part where I said we bought 200,000 tons, right? So yes, exactly. So I mean, the increases are going through. We're certainly paying more, but what Graphic pays independently is for Graphic to know.
Operator: Your next question comes from Ghansham Panjabi from Baird.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Can you, first off, remind us how you're sourcing paperboard raw material in Europe? You're obviously, expanding in the region with Benson. Longer term, how do you see your global paperboard production footprint evolving?
David W. Scheible: Look, you can't make SUS any cheaper than you can make it in the southeastern United States. It's just not possible. With the pine forests there that grow fast, energy is reasonable and getting chemicals into those facilities are great. We have great ports in Savannah and in New Orleans. So we're going to continue to expand our export tons. We're -- we export over 100,000 tons of SUS to ourselves in Europe. I'm going to be really disappointed in the next 3 or 4 years if we don't double that demand. We buy locally over there, CRB-type products or SBS-type products. We call it folding box board in Europe. And we buy CRB from a whole bunch of folks. We're not going to be exporting CRB. That makes absolutely no sense. We don't have the capacity anyway to sell. And we buy CRB. So it makes no sense for us to export it. But we will continue, through our own operations, to export SUS. On the other hand, we are not an open market seller of SUS to any real numbers at all in Europe.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Okay, that's helpful. And then in terms of the weather impact on like -- you kind of going back to that. If I missed this, I'm sorry. But did you split our the various buckets, mill downtime, higher utility costs, etc. to get to that $15 million?
Daniel J. Blount: No. What we did is we aggregated the buckets and we told you how it added up to the $15 million.
David W. Scheible: We did say the $5 million of it was inflation, the rest of it is just -- well, there's just all sorts of stuff in there.
Daniel J. Blount: If you do it, the list is so long, that it doesn't become as meaningful as grouping it into broad categories.
David W. Scheible: Plus we're trying to [indiscernible].
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Okay. Just one final one on foreign exchange, Dan, maybe this one is for you. Positive on sales and then negative on EBITDA, can you just kind of take us through that dynamic?
Daniel J. Blount: I think it's really the mix of where it comes from. I mean, we'd have to look into it further. It's not a big number for us. But I'm sure it's a mix in terms of which countries are involved.
David W. Scheible: I'm sure it's the yen.
Daniel J. Blount: Yes.
David W. Scheible: Because we have a pretty big business in Japan. So I'm sure it's the Japan, that -- I mean, trying to figure out what the yen is going to do has become increasingly difficult. Operator, are there any other questions?
Operator: Your next question comes from Debbie Jones from Deutsche Bank.
Deborah Jones - Deutsche Bank AG, Research Division: Can you maybe just talk a little bit more about the Flexible Packaging business and what the strategy is now, maybe over a 2- to 3-year timeframe? Now that you've divested part of this business, I'm just wondering if you see opportunities to grow in this business or if the focus now is more on cost reductions and business optimization?
David W. Scheible: Well, in the short term, it really is trying to make it operate effectively. We've got a business there that can generate double-digit margins if we just operate it more effectively. So we've gotten rid of the noise in that system. We've moved a lot of really good people into that business from our core business. So the folks running it at the plant level at the senior level within the mill are folks that have been successful in our carton business and you're starting to see it. What you're seeing is pricing and demand improving in that business, and the converting plants ran really, really, really well. The Pine Bluff, Arkansas mill had some weather-related issues. We didn't detail all that stuff up, but they also had a couple of million dollars tied into weather-related stuff in the quarter. So I'm more optimistic around that business. I'm not going to say we don't have work to do in it, but we expect the EBITDA to grow materially in 2014 based on our internal plans. And that's without a lot of market movement. So if the market continues to improve like it has been, then that will be a much better business for us.
Deborah Jones - Deutsche Bank AG, Research Division: Okay. And my next question is on domestic beverage business in terms of demand impacting format trends, what are you guys seeing and how might that affect your business? What are your customer’s kind of telling you about promotional activity over the next few quarters? I guess, I'm just trying to get some expectation for the balance of the year in that business that you're exposed to.
David W. Scheible: Well, what I would say is that the beer business continues to be good, both craft and imports. And I mean, craft, not just what a small craft beer would do but also the craft beers that are being made by Anheuser-Busch, MillerCoors. They have a lot of those what we consider craft. They're all doing really, really well. You probably read some of these flavor trends in fruity beers that are having a great impact on female segment of the market, and that's why beer is up. I'm unconcerned really about the trends in beer. Look, I have the same concerns in soft drink than anybody does. Particularly the diet side of the equation is difficult, and there is certainly an increased promotional activity. There's no -- Coke did significant promotional activity over the Easter holiday. We saw that in our sales. We saw April sales for Coke and Diet Coke, and those do really, really, really well. So we'll see. But our forecast isn't to see -- our forecast is details -- I'm sorry, correlates with what our customers see in that business, which is declining soft drink demand in the U.S.
Operator: [Operator Instructions] Your next question comes from Anthony Pettinari from Citigroup.
William Mitchell: It's actually William Mitchell filling in for Anthony. I was wondering if you could talk a little bit more about what capabilities Benson gives you? And then, I guess, more broadly how you were thinking about managing and growing the European business now that you have a footprint of about $700 million in sales?
David W. Scheible: Yes, well, the -- our current -- well, Benson is interesting for us because in Europe, as you well know, the private label business in food service business is a much bigger component than it is here. Still, in our country, private label is still a much smaller portion. But in Europe, it's almost 50% and in the U.K., even a little higher. So we didn't have a real good access to that market, so we had a couple of different options. One, we could build our own plants and sort of force our way in or we could buy the guy that's doing the best job and that's exactly what we did. So Benson gives us a great avenue to be -- take our product lines and our technology into that space. Relative to how we're managing it, we have -- they have a great management team over there, and we're going to -- that we're going to leverage those guys. Mark knows the business in the U.K. and we're going to expand that. The guy that's running Europe for us is Joe Yost. He was a head of our supply chain here. He worked in our CPD organizations for over a decade. He knows cartons, he knows mills and he knows sourcing. And right now, he and his team are heading that up. So we have expat at the very top and the rest of the resources over there are local European resources that know their business. So we are managing it separately in Europe. We're augmenting it with resources here in terms of purchasing or supply chain and continuous improvement. We just installed a new table in our Snake [ph] facility that were analogous to what we've done in our web facilities in the United States. So we're taking technology and translating it over there. We're letting them install it, upgrade it and work for their markets. So that's our long-term strategic plan for Europe.
Operator: Your next question comes from George Staphos from Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: I was wondering, Dave, if you could give us some color on what the private label market is growing at roughly versus your broader folding carton market in Europe.
David W. Scheible: In Europe? The private label business in Europe, it depends upon whether you're in the continent or in the U.K. But it's probably growing 6% a year over there. Here, in this country, it's growing too. It's growing faster than normal food chain, but still off a pretty small base.
George L. Staphos - BofA Merrill Lynch, Research Division: Do you expect the European folding carton market should grow more or less in line with the U.S. market? So in total both private label? Or is Europe growing a little bit more quickly or slowly than in U.S.?
David W. Scheible: I think they seem -- they're both developed countries, right? I think for the most part, their growth rates are going to be -- we have a little bit better demographics longer term in the United States because our immigration policies allow for more growth in terms of population than Europe. But in some ways it's -- that's averaging of a small number.
George L. Staphos - BofA Merrill Lynch, Research Division: Understood. If you had to go back to your expectations for the macro environment or the demand environment in Europe as you were finishing up the work and closing on Contego and A&R and relative to where it is right now, has the Continental Europe, has the U.K. picture been better ultimately than you would have expected? Or is it more or less in line with your expectations? I'm just trying to get a feel for how things have developed for you from that point.
David W. Scheible: I would say, Dan and I and Mike Doss would say that the European demand is a little better than we expected when we put our projections together, that it's held together, they had a good weather forecast in the first quarter, which who the heck can look at that? And honestly, the assets that we purchased were really, really good. And we've been able to leverage those faster than we expected. So right now as we sit here, we would say local customers and support from North American customers, who we now can support in Europe that we could not before, has been -- has led to a positive outcome. Look, we knew that we were [indiscernible] some place in Europe. But Dan and I did not have the money. I mean, we were 6.8x levered. We couldn't be investing in Europe. So when we got to a place we could, we bought the assets that made sense, including the management teams. And so we feel better about what our prospects are in Europe. And we continue to want to add on to that business for the right targets.
George L. Staphos - BofA Merrill Lynch, Research Division: Sure. One last question. I'll turn it over and come back to queue. Totally switching gears. Can you quantify or at least give some color on the impact that Tite-Pak's having on the glass market and, I guess, particularly within beer?
David W. Scheible: Yes, we -- Tite-Pak has been great, but I can't give those numbers out because I'd have to give customer stuff and that's not allowed. So I what I would simply say is that we're very happy with the scale up in Tite-Pak, and it is definitely accelerating. It's a great product. You reduce glass breakage, which is expensive and difficult for our customers to deal with, you're going to sell the product. You'll see more of it this quarter. Each quarter this year, you'll see more and more Tite-Pak in the stores. That's what I will tell you.
Operator: Your next question comes from Joshua Zaret from Longbow Research.
Joshua L. Zaret - Longbow Research LLC: One thing I didn't hear on the discussion on Pine Bluff was where the integration level is at the mill. So can you remind us what it was last year and then tell us what it was in the first quarter and what you expect for this year?
David W. Scheible: It's about 60% integration in -- and it's not materially changed quarter-on-quarter. I don't think it's changed materially. So it's about 60% integrated to our sales.
Joshua L. Zaret - Longbow Research LLC: And then what was it last year?
David W. Scheible: About the same. It hadn't really change much.
Joshua L. Zaret - Longbow Research LLC: Okay. And you expect it about the same this year?
David W. Scheible: Yes, we did. I mean, the year before, it was flat -- year before, it was 30% or 40%. So the big change was last year.
Joshua L. Zaret - Longbow Research LLC: Right. And is that where you want to be at 60%, is that your target or are you going to take that higher?
David W. Scheible: No. I think that's probably about where we are. It's a good paper market to sell into, so we'll continue to sell kraft paper.
Joshua L. Zaret - Longbow Research LLC: Okay. And as long as I'm on the subject, you probably saw that, which I didn't like, the speculation that pulp and paper had on Pine Bluff in this week's edition. One, they said that you were reportedly buying a significant amount of kraft paper on the open market. Two, that you were still having a -- you were rumored to be having operational problems. And three, that you could be producing another grade on a swing basis. Is that all wrong?
David W. Scheible: Well, we're going to start with I don't -- this whole industry works really well as innuendos, half-truths and rumors, but it's never been my policy to augment it. So I'm just going to say we're comfortable with what we're doing in Pine Bluff. And what somebody else says about what we're doing is interesting, but not commentary worthy.
Joshua L. Zaret - Longbow Research LLC: But the question is, from your point of view, are any of those correct?
David W. Scheible: No, we're -- we had some weather in Pine Bluff and we buy tons all the time on the outside for that, depending upon -- I won't say we swap tons, but we used a freight arbitrage to buy from some suppliers so that -- because what happens is the further away you get from the mill, you eat up your profitability in freight. So we do that from time to time. And with the weather impact that accelerated it, but it's certainly not a strategic question for us.
Joshua L. Zaret - Longbow Research LLC: Okay, great. No, I thought it was very speculative the way they put that in there, but I had to check it.
Operator: Your next question comes again from George Staphos from Bank of America Merrill Lynch.
David W. Scheible: George, you get no questions in the second quarter.
George L. Staphos - BofA Merrill Lynch, Research Division: Well, I had to catch up from the last quarter conference call. I promise it's the last one. Maybe segueing on Josh's line of discussion. With flexibles overall, can you give us a hoped for timing for when you do ultimately get to double-digit EBITDA margins in the segment?
David W. Scheible: Yes. I would say we -- based on our forwards, we should be at that run rate by the end of the year. But we won't see that in the second quarter. But by the end of the year, we should be there.
George L. Staphos - BofA Merrill Lynch, Research Division: And looking -- recognizing that you want to earn a return on the investments that you've made in Pine Bluff and broadly in the business, and you've done culling of the portfolio there, how -- that has yet to again show up in returns that you hopefully want to get -- will get paid for, should we -- how should we think about flexible as being a really strategically core business to Graphic Packaging overall, and it's obviously, much larger Paperboard Packaging business?
David W. Scheible: Yes, I mean, at this point in time, what I would tell you is that we still -- it generates good cash. And the fact of the matter is Graphic needs cash to get its debt structure correct. So right now, that makes it very, very core strategic. Do I feel long term I have to be making multi-wall sacks? Not necessarily. But at this point in time it makes perfectly good sense for our portfolio. And quite frankly, we need to fix it. We need to get it to a place where we -- that is a generating contributor to the overall business, and we've got some work to get that done. And that's really what our focus has to be right now.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. Last one. Obviously, you said Tite-Pak is doing well in the market. But you're -- to some degree, glass is swimming upstream in the beer market, at least given some of the share data that we've been looking at, both obviously in terms of CMI data and some of the point-of-sale data. So if that trend continues where cans are continuing to gain market share versus glass -- that's an assumption, I recognize. Do you think Tite-Pak will be as successful as you hope it to be, realizing that's a very subjective question? And for that matter, do you think glass may actually be able to regain market share versus cans in the next couple of years?
David W. Scheible: Yes, what I would say is we're heavily -- more heavily leveraged towards cans than we are at bottles anyway across our beer business. So go get them cans. But what I will tell you is that if you're doing a bottle pack, there's 2 ways you're doing it. One is in 6-pack carriers, which we are, by far and away, the largest manufacturer of that. And if you're making a 12-pack bottle pack, you might as well make it with one that reduces your cost. So whatever bottle packs are going to be sold, it makes -- it doesn't seem to make a lot of sense not to use a Tite-Pak, which saves you costs in your process. So that's kind of where I think we are. But we saw a higher level of cans in take home and that's fine by us, because we're more higher leveraged to cans in our business as well.
Operator: I have no further questions in queue. I'll turn the call back over to the presenters for closing remarks.
David W. Scheible: Okay, guys. Well, you know what, we're going to get back to work and -- on the second quarter. We'll talk to you all in July. Take care.
Operator: Thank you, everyone. This concludes today's conference call. You may now disconnect.